Operator: Good day and thank you for standing by. Welcome to Glatfelter's Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] And now, I would like to hand the conference over to your first speaker today, Ramesh Shettigar from Glatfelter. Thank you. Please go ahead.
Ramesh Shettigar: Thank you, Paul. Good morning, and welcome to Glatfelter's 2021 third quarter earnings conference call. This is Ramesh Shettigar, Vice President of ESG, Investor Relations and Corporate Treasurer. On the call today to present our thirds quarter results are Dante Parrini, Glatfelter's Chairman and Chief Executive Officer and Sam Hillard, Senior Vice President and Chief Financial Officer. Before we begin our presentation, I have a few standard reminders. During our call this morning, we will use the term adjusted earnings as well as other non-GAAP financial measures. A reconciliation of these financial measures to our GAAP based results is included in today's earnings release and in the investor slides. We will also make forward-looking statements today that are subject to risks and uncertainties. Our 2020 Form 10-K filed with the SEC and today's release, both of which are available on our website, disclose factors that could cause our actual results to differ materially from these forward-looking statements. These statements speak only as of today and we undertake no obligation to update them. I will now turn the call over to Dante.
Dante Parrini: Thank you, Ramesh. Good morning and thank you for joining us today. The third quarter marks an important milestone in Glatfelter's ongoing transformation with the successful acquisition of Jacob Holm. This business will significantly enhance the scale and diversification of our product and technology portfolio by introducing premium quality spunlace nonwovens to our offerings. We also completed the first full quarter with Mount Holly under Glatfelter's ownership, which contributed to record operating profit for the Airlaid segment. Slide 3 of the investor deck provides the key highlights for the third quarter. We reported adjusted earnings per share of $0.21 and adjusted EBITDA of $32 million. Airlaid Materials performed well above expectations, driven by the higher than anticipated demand for our tabletop and wipes products. This strong demand positively impacted segment profitability in the quarter. We also experienced sequential volume growth of 10% in our hygiene products category after being negatively affected in the first half of the year as consumers destocked. Consistent with our previous guidance, customer buying patterns in this category returned to more normalized levels during the quarter. Also our contractual pass-through arrangements with customers allowed us to offset elevated raw material costs and maintain solid margins during this volatile inflationary period. Composite Fibers was challenged in the third quarter by significantly higher energy prices that were well above our expectations, along with continued inflation for raw materials and logistics. For example, electricity prices more than doubled during the quarter in key European countries like Germany and the UK, where we have significant manufacturing operations. In order to mitigate this unprecedented escalation of input costs, we announced in mid-September an incremental 12% price increase across the Composite Fibers product portfolio. This action was an addition to the 8% price increase announced earlier in the year. We believe these price actions appropriately reflect the current market conditions as we continue to provide our customers, security of supply of high quality products and responsive service during this very dynamic business environment. In addition, we successfully executed a $500 million bond offering that is primarily being used to finance the Jacob Holm acquisition. This transaction marks another significant step forward in our transformation by further broadening our Engineered Materials product and technology offerings, enhancing enterprise wide innovation capabilities with a focus on sustainability and adding meaningful scale to the company. I'm very pleased to welcome the Jacob Holm colleagues to Glatfelter, who now represent our spunlace segment. We will begin the process of enabling close collaboration and technology sharing among this expanded group of industry leading nonwovens experts. Our near-term priorities for this acquisition will be focused on successfully integrating Jacob Holm into Glatfelter's operating model, achieving the targeted $20 million of annual synergies and actively delevering the balance sheet. Sam will now provide a more detailed review of our third quarter results, as well as additional comments on the Jacob Holm acquisition. Sam?
Sam Hillard: Thank you, Dante. Third quarter adjusted earnings from continuing operations was $9.5 million or $0.21 per share, an increase of $0.05 versus the same period last year, driven primarily by strong earnings in the Airlaid segment and a favorable tax rate for the quarter. Also noteworthy is that Q3 results included the first full quarter of the Mount Holly acquisition under Glatfelter's ownership. Slide four, shows a bridge of adjusted earnings per share of $0.16 from the third quarter of last year to this year's third quarter of $0.21. Composite Fibers results lowered earnings by $0.05, driven primarily by higher inflationary pressures experienced in raw materials, energy, logistics and operations. Airlaid Materials results increased earnings by $0.02, primarily due to strong volume recovery in wipes and tabletop product categories, as well as from the addition of a full quarter of Mount Holly results. Corporate costs were $0.02 favorable from ongoing cost control initiatives and interest, taxes and other items were $0.06 favorable driven by a lower tax rate this quarter of 27% versus 48% in the same quarter last year. Slide five, shows a summary of the third quarter results for the Composite Fibers segment. Total revenues for the quarter were 3.4% higher on a constant currency basis, mainly driven by higher selling prices of approximately $6 million to mitigate the elevated inflationary pressures in energy, raw materials and logistics. Shipments were 6% lower, primarily driven by softer demand in our wallcover product category from unexpected customer downtime in the middle of the quarter, although buying patterns began to stabilize as we exited the quarter. We continued to see firm demand in our composite laminates and food and beverage categories, which were up 17% and 2% respectively. Prices of wood pulp, energy and freight continue to escalate in the third quarter and negatively impacted results by approximately $12.5 million versus the same quarter last year. Sequentially from Q2 of 2021, this impact was $5.7 million, creating significant headwinds for this segment. Although we expected some inflationary pressures to continue into the third quarter, our pricing actions announced earlier in the year were unable to fully offset the magnitude of inflation. The single biggest driver of the sequential inflation impact was energy prices, which increased sharply in Europe during the third quarter. As Dante noted, energy prices in the spot market more than doubled during the quarter. In addition, we experienced higher inflationary pressures in raw materials, particularly wood pulp and in logistics cost driven by global supply chain disruptions. This had a combined unfavorable impact sequentially of approximately $2.7 million. As a result, we announced an additional 12% price increase in the middle of September for all product categories in Composite Fibers to offset the spiraling inflationary movements. We expect input costs to remain relatively volatile in the near term and we'll continue to closely monitor these developments. We will continue to assess a variety of mitigating actions in addition to our ongoing focus on managing costs, operational efficiencies and leveraging our global scale and integrated supply chain. Operations were favorable by $2.4 million, driven by strong production on our inclined wire machines to meet the growing customer demand. Currency and related hedging activity unfavorably impacted results by $1.2 million. Looking ahead to the fourth quarter of 2021, we expect shipments to be flat on a sequential basis. Selling prices are expected to be $6 million higher versus Q3 of 2021. Raw materials and energy prices are projected to be $1 million to $2 million higher sequentially and operations are expected to be in line with the third quarter. Slide six, shows a summary of third quarter results for Airlaid Materials. Revenues were up about 40% versus the prior year quarter on a constant currency basis, supported by the addition of a full quarter of Mount Holly and strong recovery in the tabletop and wipes categories. Shipments of tabletop and wipes almost doubled when compared to the third quarter of last year. However, demand for hygiene products was 5% lower versus last year, although improved by 10% versus the second quarter of this year. All Airlaid product categories returned to more normalized demand patterns in the third quarter after a trough in the first half of this year related to customer destocking. Selling prices increased meaningfully from contractual cost pass-through arrangements where we passed raw material price increases along to customers. However, energy is not part of most pass-through arrangements, which reduced earnings by $1.3 million. And we recently introduced a 10% price increase to those Airlaid customers that did not have cost pass-through arrangements to cover the additional inflation. Operations were lower by $2.5 million compared to the prior year, mainly due to relatively lower output this quarter as production rates last year were elevated to meet the high demand during the peak of the pandemic. And foreign exchange was unfavorable by $1.2 million, driven by the FX pass-through provisions in our customer contracts. For the fourth quarter of 2021, we expect shipments to be 3% lower on a sequential basis with unfavorable mix, thereby impacting operating profit by $1 million. Selling prices are expected to be higher, but fully offset by higher raw material prices and energy prices are expected to unfavorably impact profitability by $1 million to $1.5 million compared to the third quarter. Slide 7 shows corporate costs and other financial items. For the third quarter, corporate costs were favorable by $1.7 million when compared to the same period last year, driven by continued spend control. We expect corporate costs for full year 2021 to be approximately $22 million, which is an improvement from our previous guidance of $23 million. Interest and other income and expense are now projected to be approximately $15 million for the full year, higher than our previous guidance of $11 million. The increase is driven by the recently executed bond offering of $500 million, which was used to finance the Jacob Holm acquisition, as well as to pay down our existing revolver borrowings. Our tax rate for the third quarter was 27% lower than previously expected and driven by the release of certain tax valuation allowances. We expect the fourth quarter tax rate to be approximately 42%, while our full year 2021 tax rate is estimated to be between 38% and 40%, in line with our previous guidance. With regard to guidance on our new spunlace segment, which is how we will be referring to and reporting results for the Jacob Holm acquisition, for the two remaining months of the fourth quarter under Glatfelter's ownership, we expect shipments to total approximately 13,000 metric tons and operating profit to be approximately $1 million. This includes D&A of approximately $3.5 million. Please note these estimates are subject to change upon completion of purchase accounting. Slide 8 shows our cash flow summary. Third quarter year-to-date adjusted free cash flow was higher by approximately $9 million, mainly driven by lower working capital usage. We expect capital expenditures for the year to be approximately $30 million to $35 million including the two months for Jacob Holm. Depreciation and amortization expense is projected to be approximately $63 million including Jacob Holm. Slide 9, shows some balance sheet and liquidity metrics. Our leverage ratio decreased to 2.8 times as of September 30, 2021 versus 3.0 times at the end of June, but higher compared to year-end 2020, mainly driven by the Mount Holly acquisition. Our pro forma leverage including the recent bond offering and Jacob Holm financials, synergies and transaction costs is approximately four times. We still have ample available liquidity of more than $280 million. As Dante mentioned in his opening remarks, our near-term focus will be to ensure a successful integration of our new spunlace segment realize the $20 million of expected annual synergies and reduce our leverage. This concludes my prepared remarks. I will now turn the call back to Dante.
Dante Parrini: Thanks, Sam. Looking ahead, we're optimistic about the prospects for the business, as we continue building the new Glatfelter. Demand for Composite Fibers products, is expected to remain robust, in most categories and we expect that to continue for the foreseeable future. Our most recent pricing actions were implemented to mitigate additional inflation and should be a meaningful contributor to earnings during the fourth quarter. Airlaid Materials demand is steadily improving to pre-COVID levels as wipes and tabletop significantly improved in the third quarter, while destocking in the hygiene products, is beginning to abate. Our continued aggressive stance on cost control is contributing to maintaining. an efficient cost structure, thereby improving EBITDA and free cash flow. And we have significant value creation opportunities. as we continue to optimize Mount Holly and begin the integration process for Jocob Holm. So we're building scale and momentum. as we accelerate the pace of expansion. for the new Glatfelter. This concludes my closing remarks. I'll now open the call, for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Your first question is from Anojja Shah with BMO Capital Markets. Your line is open.
Anojja Shah: Hi. Good morning.
Dante Parrini: Hey, Anojja.
Sam Hillard: Good morning.
Anojja Shah: Hi, I just wanted to get back to this question of inflation and maybe you could talk a little bit more about the timing and cadence on inflation recovery. I know your price increases are going to contribute quite a bit in Q4, but when do you think you're going to be able to fully recover all the inflation? With that be in 2022? And then also specifically, on European energy and what I recall the timing of the spikes being there, should we assume a bigger hit in Q4 than you had in Q3?
Sam Hillard: So, I would say, we're guiding toward $6 million of improvement in prices and I'm talking about Composite Fibers here, right. So, I think we obviously, are expecting a big pickup on the inflation recovery in Q4. As for sort of full recovery rates, it's a little bit difficult to predict exactly what's going to continue to happen, to these raw material and energy prices, in Q4 and Q2, but based on where we think they are and where we think they're going to be for the quarter, we expect a pretty solid recovery getting us back into the range of kind of the low to mid-teens margins, for Composite Fibers like we've seen over the last few quarters. The second part was around energy. Yes, I mean that... Yes, energy was clearly a challenge, especially in Europe, as I mentioned more than doubling electricity and natural gas both in places like Germany and the UK where we have seven manufacturing facilities, was a big factor for us and something that we didn't fully factor into our forecast when we gave guidance for Q3. I would say that, based on our assessment and what the third-party experts are telling us about energy, we expect for Composite Fibers perhaps to be slightly higher than the third quarter. And it all depends on this combination of liquefied natural gas, restoration of some of the green energy sources of wind and solar. And then, what kind of interventions may occur through different government reactions to this because it's not just affecting manufacturing, it's affecting consumers, especially with winter coming. So, we saw a little bit of a peak in October, but estimating that on a quarter-to-quarter basis, we'll see slightly higher energy costs for Q4.
Anojja Shah: Great. Okay and -- but conversely, we are starting to see fiber look like it's rolling over a little bit. Do you expect any benefit from that in Q4? And what was the net impact in Q3, from fiber costs?
Sam Hillard: I don't have a Q3 net impact on fiber, but yeah, we have started to see abatement there and -- but again, the energy price was a larger hit in Q3.
Anojja Shah: Right, okay. Switching over to Airlaid, I think you mentioned in your outlook for Q4 an unfavorable mix shift. Can you give a little more detail on that, like what --which end markets you're seeing declining and which are growing to cause that mix shift?
Sam Hillard: So, we're expecting shipments to be about 3% lower. And you're right, there is a bit of a mix negatively impacting the profit by $1 million.  Some of the decline that's expected is in Q4 seasonality. A lot of that relates to tabletop. And traditional white tabletop is not at the top of the heap when it comes to the margin profile. Color tabletop which you traditionally see a pretty good spike in Q3 and a ramp up for the holidays, that's a very high margin product. So those are some of the mix shifts we're seeing in there.
Anojja Shah: That's very helpful. Thank you. And then, I think just ask about, you talked about strong inclined wire production in Composite Fibers. What is that exactly? And is there a favorable mix component there? And also what are you expecting for Q4?
Dante Parrini: So the inclined wire production is largely our food and beverage papers as well as our Composite Laminates. It basically excludes the wallcover and certain electrical papers, as well as metallized.
Anojja Shah: And for Q4, you expect that to recur?
Dante Parrini: Yeah. I mean, we're expecting overall volumes to be in line. As you know, we don't guide for specific product categories, but we expect the shipments to be in line and operations to be in line with the third quarter, as well.
Anojja Shah: Okay. And last one for me, is I don't know if you could give any preliminary sense on the inventory step up for Jacob Holm. I know it's excluded from your guidance, probably because, you're still in process with that, but just any sense of what kind of impact we can expect from that?
Sam Hillard: It's a little premature on that. We're still working through with our advisors on the purchase accounting. I wouldn't feel comfortable putting a number out there yet.
Anojja Shah: All right, fair enough. Thanks very much.
Operator: And I don't see additional questions at this time. I'll hand the conference back over to Dante Parrini, CEO for closing remarks.
Dante Parrini: Okay. Well, thank you for joining our call today. And we look forward to speaking with you again next quarter. Have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for joining. You may now disconnect. Have a great day. Thank you.